Executives: Frank J. Techar - Chief Executive Officer of Personal & Commercial Banking for Canada BMO and President of Personal & Commercial Banking for Canada BMO Surjit S. Rajpal - Deputy Head of Enterprise Risk & Portfolio Management William A. Downe - Chief Executive Officer, President, Non-Independent Director, Chief Executive Officer of BMO Financial Group and President of BMO Financial Group Thomas V. Milroy - Chief Executive Officer Thomas E. Flynn - Chief Financial Officer, Chief Risk Officer, Executive Vice President and Principal Accounting Officer Viki A. Lazaris - Senior Vice President of Investor Relations Gilles G. Ouellette - Chief Executive Officer of Private Client Group and President of Private Client Group Mark F. Furlong - Chairman, Chief Executive Officer, President, Chairman of M&I Marshall & Ilsley Bank, Chief Executive Officer of M&I Marshall & Ilsley Bank, Vice President of M&I Capital Markets Group LLC, Treasurer of M&I Capital Markets Group LLC, Director of M&I Capital Markets Group LLC and Director of Marshall & Ilsley Trust Company
Analysts: John Reucassel - BMO Capital Markets Canada Andre-Philippe Hardy - RBC Capital Markets, LLC, Research Division Michael Goldberg - Desjardins Securities Inc., Research Division Steve Theriault - BofA Merrill Lynch, Research Division Robert Sedran - CIBC World Markets Inc., Research Division Brian Klock - Keefe, Bruyette, & Woods, Inc., Research Division Gabriel Dechaine - Crédit Suisse AG, Research Division
Operator: Please be advised that this conference call is being recorded. Good afternoon, and welcome to BMO Financial Group's Fourth Quarter 2011 Conference Call for December 6, 2011. Your host for today is Viki Lazaris, Senior Vice President of Investor Relations. Please go ahead.
Viki A. Lazaris: Thank you. Good afternoon, everyone, and thanks for joining us today. Our agenda for today's Investor Presentation is as follows: We'll begin the call with remarks from Bill Downe, BMO's CEO; followed by presentation from Tom Flynn, the bank's Chief Financial Officer; and Surjit Rajpal, our Senior Risk Officer. After their presentation, we'll have a short question-and-answer period, where we'll take questions from prequalified analysts. To give everyone an opportunity to participate, please keep it to one question and then re-queue. We'll wrap up the call at 3 p.m. Also with us this afternoon to take question, our BMO business unit heads: Tom Milroy from BMO Capital Markets; Gilles Ouellette from the Private Client Group; Frank Techar, Head of P&C Canada; and Mark Furlong, from P&C U.S.  At this time, I caution our listeners by stating the following on behalf of those speaking today. Forward-looking statements may be made during this call. They are subject to risks and uncertainties. Actual results could differ materially from forecasts, projection or conclusions in the forward-looking statements. Information about material factors that could cause results to differ and the material factors and assumptions underlying these forward-looking statements can be found in our 2011 annual MD&A and our fourth quarter 2011 earnings release.  With that said, I'll hand things over to Bill.
William A. Downe: Thank you, Viki. Good afternoon, everyone. As noted, my comments may include forward-looking statements.  BMO generated strong financial results in 2011, with net income increasing in each quarter and finishing the year with reported earnings of just under $900 million. The year was characterized by double-digit revenue growth and continued momentum in our businesses, and was highlighted by acquisitions that contributed substantially to our growing customer base. Again, in 2011, BMO progressed against its strategic priorities. We generated double-digit earnings growth across all of our businesses.  We announced and closed a strategic acquisition, positioning our U.S. operations for quality growth. In addition, an integration of the operations of M&I is enabling us to achieve the scale we sought for our U.S. Midwest P&C business, while significantly advancing wealth management by doubling our U.S. private banking presence and substantially increasing the number of financial advisors to support our expanded footprint of nearly 700 retail branches.  We further developed our institutional Asset Management business through organic growth and acquisitions, including Lloyd George Management. The Global Asset Management business now manages over $100 billion in combined assets, and we strengthened our leadership across the bank and sustained the culture that focuses on customers, high performance and our people.  Talking to you today 5 months after the closing of the M&I purchase and the introduction of BMO Harris Bank, our expectations around performance and our confidence in the potential of the business are unwavering. I'm pleased with our progress against all elements of the integration plan to date, and overall, we've exceeded our base case. While we're only in the very early days of realizing on synergies, we're already seeing results.  Turning to our financial results. Driven by acquisitions, reported revenue in the fourth quarter increased 20% year-over-year to $3.9 billion. Reported net income was up 21% at $897 million, representing an ROE 14.3%. Reported earnings per share is up 8% to $1.34. On an adjusted basis, net income was $850 million, and earnings per share increased slightly to $1.27.  Consistent with our objective of increasing the retail component of our earnings mix, over 80% of BMO's adjusted operating revenue and net income came from our Personal, Commercial and Wealth businesses in the fourth quarter. Fourth quarter-specific provisions of $210 million were lower than last year but higher than the Q3 level. While we continue to expect quarterly variability, we view credit as stable and improving over the longer term. And $80 million general allowance increased total Q4 provisions to $290 million, and Surjit will provide more color later in the call.  BMO's full year 2011 financial performance was strong on both the reported and adjusted basis. Adjusted revenue increased 10% to $13.5 billion. Adjusted net income was up 15% to $3.3 billion, and ROE increased to 15.3%. Adjusted earnings per share came in at $5.29, 10% above last year, and pretax pre-provision earnings reached a new high of $5.1 billion.  As expected, provisions for credit losses declined from 2010 levels. Adjusted productivity was slightly elevated at 62.4%, reflecting expense growth related to business investments that were under way and predated the announcement of the M&I transaction. In the lower growth environment that we're now facing, productivity will play a larger role in our success. In that regard, we're conducting a top-to-bottom review of the relationship with revenue and expenses, and we're confident in achieving productivity improvement. It's still early in the process, and tangible benefits are already surfacing.  BMO remains well capitalized, finishing the year with a pro forma Basel III common equity ratio of 6.9%. BMO's dividend payout ratio for the year was 53% at the high end of our 45% to 55% target range.  Tom will take you through our group results in more detail, but let me touch on some 2011 highlights. P&C Canada's reported net income for the year was $1.7 billion, and on actual loss basis up 10%. This success was underpinned by the investments we've been making for our customers, particularly in front-line staff, infrastructure and technology.  We made tangible progress in improving our customer loyalty, as measured by Net Promoter Score, and significantly improved the online customer experience, ranking second among public websites of our Canadian peers in 2011.  Share of wallet increased, as did the average number of products per customer for both personal and commercial. We strengthened our branch network, opening or upgrading a record 58, including 9 new innovative locations, and we improved our salesforce productivity. BMO's financial planners, as an example, improved productivity by over 28% in 2011.  P&C U.S. increased its net income 75% to $359 million in source currency. On an adjusted basis, net income was $394 million, of which $142 million was attributable to the contribution from M&I. We're very pleased with our early performance.  BMO Harris Bank has high brand equity and leading market positions in the Midwest. In retail deposit market share, we ranked #1 in Wisconsin and have moved up the #2 in the Chicago market, increasing our share by 2 percentage points to 11.6%, and customer loyalty is strong.  2011 was a good year for the Private Client Group, and net income was up 13% to $518 million, driven by strong performance from traditional Wealth businesses, up 31% from a year ago. Global Banking and Financial Review named Harris Private Banking as 2011's best private bank in Canada, and in its recently released annual online brokerage rankings, The Globe and Mail ranked BMO InvestorLine first among banks and third overall.  BMO Capital Markets delivered a good year. Net income increasing 13% to $920 million and a strong ROE of 20.4%. We've built a team who successfully compete across our North American platform, with substantially expanded U.S. equity research sales and trading. We were named the primary dealer by the New York Fed, which significantly enhances our U.S. fixed income capability. And Global Finance Magazine named us the World's Best Metals and Mining Investment Bank again. And just last week, BMO was rated Best Bank for Canadian dollar by FX Week.  To conclude, I'll highlight the current outlook from the BMO economics group. We expect the growth rate of the North American economy to expand from the current 2% level closer to 3% by the end of 2012. Recent U.S. data has been encouraging. And assuming the European challenge plays out in a somewhat orderly fashion, we expect sustained economic expansion, led by increasing business investment. In our Midwest market, we expect the economy to grow slightly faster than the national average. Canada, support from low interest rates, firm commodity prices and a gradual pick up in U.S. demand, will help counter tighter fiscal policy and sustained growth.  Following the Q&A session, I'll call in our group heads to provide an overview on the 2012 outlook in their respective businesses, and I'll wrap up with some brief comments. And with that, I'll pass it over to Tom.
Thomas E. Flynn: Thanks, Bill, and good afternoon. Some of my comments may be forward-looking. Please note the caution regarding forward-looking statements at the beginning of the presentation.  Starting on Slide 9, reported net income of $897 million was up 21% from last year, and EPS was $1.34, up 8%. Adjusted net income was $850 million, up 14% from last year. Adjusted EPS was $1.27, up 1%, reflecting shares issued for M&I. Net adjustments in Q4 were negative and totaled $47 million or after-tax $0.07 per share. Adjustments all on an after-tax basis include $107 million credit mark-related benefit on the acquired loan portfolio, which I will discuss more in a few minutes; integration and restructuring cost of $35 million; and amortization of acquisition and intangibles of $25 million.  We included the credit mark benefit as an adjusting item to show results more reflective of core operating performance, which will make for more meaningful NIM, productivity and growth numbers, and given that the credit mark impacts could be large and have some variability quarter-to-quarter.  Slide 10 highlights our good results for 2011. Total bank reported net income was a record, as was income in each group. On an adjusted basis, revenue was $13.5 billion, up 10%; Income, $3.3 billion, up 15%; EPS, $5.29, up 10%; and ROE was over 15%. Each of our businesses did well, with double-digit growth across the board.  Moving to Slide 11. Adjusted revenue in Q4 was $3.6 billion, an increase of 12% year-over-year and 10% sequentially, largely due to the lift from M&I. Adjusted net interest income was $1.9 billion, up 16% from a year ago and 10% quarter-over-quarter. Adjusted noninterest revenue was up 10% from Q3, with the acquired businesses improving results by 9%.  As shown in the graph on the right, adjusted total bank NIM excluding trading was 214 basis points, down 5 basis points quarter-over-quarter, with this due mainly to lower spreads in BMO Capital Markets and P&C Canada.  Turning to Slide 12. Adjusted expenses of $2.3 billion were up $326 million or 16% year-over-year. Expenses related to the acquired businesses were $315 million. As shown in the table, excluding M&I, expenses increased less than 1% from a year ago. On the same basis, expenses were up 3.4% quarter-over-quarter due to employee-related costs, investments and a strong U.S. dollar, which accounted for 1/3 of the increase. As Bill mentioned, in what looks like it will be a lower growth environment, productivity will be an important part of success. Recognizing this, we are stepping up our function -- our focus in this area across the bank in a deliberate way.  Slide 13 provides an update on the M&I acquisition. We're pleased with the contribution in the quarter, with the acquisition adding adjusted earnings of $148 million in total and $124 million to operating groups. Based on our current outlook, we now expect that the M&I acquisition will be accretive to adjusted EPS for fiscal 2012 better than our assumptions when we announced the transaction.  As a reminder, for reporting purposes, operating group financials reflect business results, credit provisions on an expected loss basis, net interest income based on contractual rates for loans and deposits, and the amortization of acquisition intangibles. Corporate includes a number of items, as shown on the bottom left of the slide, including restructuring costs, differences between expected and actual credit provisions and the residual of the rate mark amortization and other corporate treasury items which was not significant in the current quarter. The larger side of impacting corporate this quarter relates to accounting for the credit mark in the acquired loan portfolio, and this resulted in $107 million in net income.  Turning now to Slide 14. We show the components of the credit mark-related accounting. First, a portion of the credit mark is amortized into net interest income over the life of the purchased performing loan portfolio as higher effective yield. This accounting is similar in concept to the higher yield that would result to bond that was acquired at a discount to par.  In Q4, the amortization or accretion of credit mark drove $161 million of net interest income. Over time, if the credit mark is correct, this yield will be offset by credit provisions.  The second item that increases revenues relates to the impact of loan repayments. When acquired performing loans are repaid, the amount of credit mark held on the loan is no longer required, so it is released and recognized as interest income. In Q4, loan repayments increased net interest income by $110 million. This represents a true gain for the bank. In fact, we bought those at a discount to par and got fully paid out.  The third component of the accounting relates to PCLs. Specific provisions will be recognized on the portfolio over time as required. In Q4, specific provisions were $118 million. And in addition, general allowance will be taken as appropriate. In Q4, the general allowance was $80 million. The net credit mark-related income of $107 million in Q4 was high, mainly due to the loan paydowns that occurred and a relatively low level of specific provisions.  As shown on Slide 15, capital ratios continue to be in good shape, with the common equity ratio at 9.6% and Tier 1 ratio at 12%. Our Basel II common equity ratio will be lower by approximately 50 basis points in Q1 2012. After accounting for the changes coming related to the implementation of Basel 2.5, changes to the deductions for insurance subsidiaries and the beginning of the transition to IFRS for capital purposes.  Our pro forma Basel III common equity ratio at year end was in good shape at 6.9%. This ratio reflects full implementation of IFRS and Basel III, and so was not impacted by the items that I mentioned will impact Basel II in Q1.  Moving to Slide 18. P&C Canada delivered annual net income growth of 10% to an actual loss basis and 4% reported. Revenues were up 4%, reflecting volume growth and some NIM pressure. P&C Canada maintained its productivity ratio in the low 50% range, while investing in its strategic agenda. Net interest margin declined 4 basis points quarter-over-quarter, mainly due to lower deposit spreads and lower mortgage refinancing fees.  Moving to Slide 19. P&C U.S. fiscal '11 adjusted income was USD $394 million, up 77%. Q4 revenue and net income more than doubled from a year ago, reflecting good contribution from the acquired business. The adjusted productivity ratio of 57.3% improved notably.  Fourth quarter adjusted net income was USD $171 million, with $111 million of that coming from the former M&I operations. NIM increased from a year ago, mainly due to higher deposit balances and improved loan spreads.  Turning to Slide 20. Private Client Group fiscal '11 net income of $518 million was up 13%. Excluding insurance, business net income was up a strong 31%. Net income in the quarter was $144 million, up 13% from a year ago. Earnings excluding insurance were up 20%. Insurance earnings were down slightly from last year but up in Q3.  Turning to Slide 21. Capital markets delivered good fiscal 2011 earnings of $920 million, up 13%. ROE was strong at 20%. Fourth quarter net income was $149 million. Lower revenues in the quarter reflect a weaker and more volatile trading environment and subdued investment and corporate banking activity. Expenses were up 5.4% from a year ago, driven primarily by strategic investments in people.  On Slide 22, for corporate on an adjusted basis, there was a net loss of $44 million in the fourth quarter. The improvement from last year was driven largely by lower credit provisions, partially offset by lower revenues. Quarter-over-quarter, adjusted results were better by $43 million, reflecting higher revenues and lower credit provisions, partially offset by higher expenses driven by the acquired business. Reported results were impacted by the adjusting items I spoke to earlier.  Before wrapping up, I note that we've provided 2 slides which summarize our MD&A disclosure on the transition to IFRS as well in the package. And with that, I'll turn it over to Surjit.
Surjit S. Rajpal: Thanks, Tom, and good afternoon. Before I begin, I like to draw your attention to the caution regarding forward-looking statements in the beginning of the presentation.  We begin on Slide 31, where we provide details of our $208 billion loan portfolio, which includes the recently acquired businesses. There has been no significant change in the makeup of the portfolios quarter-over-quarter, with 2/3 of the loans based in Canada. Given concerns about the Canadian housing market and household debt, I want to take a moment to address this in the context of our portfolios.  Our total direct residential mortgage exposure is approximately $42 billion, which represents about 7.5% of the total value of Canadian chartered bank residential mortgages, estimated to be $563 billion. In addition, we have ensured 70% of our managed portfolio and 62% of our own portfolio.  The uninsured portfolio reflects solid homeowner equity, with an average loan-to-value of 54% based on July house price data. The level of uninsured balances in our total retail portfolios and our conservative loan-to-value ratios in our real estate secured book have positioned us well. Nonetheless, we continue to maintain prudent lending practices and regularly assess and amend our underwriting guidelines to adapt to changes in the risk environment and our risk appetite.  The U.S. portfolio represents 29% of total loans and approximately 37% of business in consumer products. Together, our retail portfolios in the U.S. and Canada represent approximately 54% of the total bank loans, with more than 87% secured.  Slide 32 presents details of the total U.S. loan portfolio in U.S. dollars. I would first like to note that we are seeing some signs of improvement in the U.S. economy. Business balance sheets have improved, along with an increase in manufacturing output.  On a year-over-year easing of the unemployment rate, which in November dropped to 8.6%. The U.S. portfolio of $61 billion consists of $23 billion in consumer, $28 billion in C&I and $10 billion in commercial real estate. The consumer portfolio consists of 36% first mortgages, 36% real estate secured lines, with the remainder in auto and other consumer loans.  The C&I portfolio is well diversified across industries, with the largest sectors being owner-occupied commercial mortgages at 18%, manufacturing at 16% and financial institutions at 15%. Exposure to the commercial real estate sector is USD $10 billion, with approximately $8 billion of this from the acquisitions. 72% of the total is invested on commercial mortgages. Commercial real estate portfolio represents about 16% of the total U.S. loan portfolio. As I mentioned last quarter, we continue to actively manage this portfolio, with a focus on reducing distressed assets.  Turning to Slide 33. The situation in Europe has resulted in significant turmoil in global markets, requiring added awareness and, of course, disclosure. On this slide, we provide an overview of our relatively moderate European exposure. Total direct exposure to Greece, Ireland, Italy, Portugal and Spain is modest at $203 million. The direct exposure to the remaining countries in the Eurozone is $5 billion, with approximately $3.5 billion to sovereign counterparties or backed by sovereigns. These sovereign exposures are largely cash products. I would note that we remain alert to the evolving European situation and are proactively managing our exposures. We provide additional disclosure on our European exposures in the annual management discussion and analysis.  Turning now to Slide 34, where we provide an overview of the gross impaired loans and formations. Formations of $542 million for the quarter. $185 million of this is related to the acquired portfolios. $81 million of which is backed by an 80/20 FDIC loss share. The increased formation of the core portfolios is primarily due to a few large accounts mainly in the financial sector, as well as in Canadian manufacturing and agricultural sectors where continued economic weakness and the high Canadian dollar are impacting exporters.  On Slide 35, we provide details of the provision for credit losses. The consolidated specific provision was $210 million. In addition, there was an $80 million increase in the general allowance which is related to the acquired portfolio. The table to the right provides the business segment details of the provisions.  P&C Canada provisions are relatively flat over the quarter, with the consumer portfolio contributing the majority of the $130 million. P&C U.S. provisions were up this quarter to $69 million. The U.S. commercial portfolio provisions increased to $30 million this quarter, primarily from the commercial real estate sector. Consumer portfolios represent the largest share at $39 million, although it's lower quarter-over-quarter. Capital market provisions continue to be modest at $10 million.  Turning to Slide 36, we provide a segmentation of the specific provision by geography and sector. The Canadian provision was $102 million, up from $94 million last quarter and $98 million a year ago. The consumer loan and credit card segments contributed to the larger share 39% and 25%, respectively. The U.S. provision was $108 million, an increase from $80 million in the third quarter. The first 2 lending segment contributed the largest at 29%, followed by the commercial real estate investor-owned sector at 26%. The acquired portfolios contributed about $30 million to the provisions this quarter.  Slide 37, we note that the trading and underwriting market value exposure has dropped quarter-over-quarter from $16.7 million in quarter 3 to $12.3 million in the fourth quarter, mainly due to reduced interest rate exposures in both our debt products business and our liquidity pools, partially offset by higher equity risk. Interest rate VAR exposures on our AFS portfolio was also almost unchanged over the quarter and continues to be concentrated in portfolios holding significant assets or positions in Canada mortgage bonds, government of Canada bonds and U.S. treasuries.  In closing, I'm pleased with our performance this year. We have made a substantial acquisition, our core book continues to perform well and our risk culture is growing stronger. As we look forward, we must maintain our awareness of the risk environment and the challenges therein. In particular, the European situation, the elevated consumer debt levels and potential Canadian housing price correction. As I mentioned earlier, we regularly assess our lending practices to ensure we remain prudent in light of changing market conditions and within our risk appetite. We can now move to Q&A.
Operator: [Operator Instructions] The first question is from Andre Hardy of RBC Capital Markets.
Andre-Philippe Hardy - RBC Capital Markets, LLC, Research Division: Just a clarification, please and then I had a question for Bill Downe. The clarification is on the derivatives exposure to Europe. It looks like you're giving us a number that's the mark-to-market net of collateral. What would that number be if you looked at it based on future exposures like some other banks have disclosed it? And my question for Bill Downe is around the EPS guidance over the medium term. It's been reduced. Is that because the starting point on credit will make for a tougher comparisons, or it's a more conservative view on your potential revenue growth?
William A. Downe: Andre, I'll take your question. And then the question on the European exposure, I'll pass back to Surjit. There are a couple of contributing factors. This time last year, we expected that the rate of economic growth in 2011 would be a little bit more robust than it turned out to be in the latter part of the year. I do think that there is some moderation in the expectation around the rate of credit recovery. I think it will continue. But to your point, the U.S. housing market continues to struggle. And I think it will just take a little bit longer for us to see a recovery in that segment. So that is a contributing factor. That said, I'm still quite optimistic that we will have acceptable economic growth. And that will support the growth of all of the businesses. And, Surjit, I'll turn it over to you to talk about the European exposure.
Surjit S. Rajpal: Andre, we have shown you the mark-to-market net of collateral on that, on the table that you see. And I suspect you're talking about -- when you talk about expected exposure, you're talking about future potential exposures.
Andre-Philippe Hardy - RBC Capital Markets, LLC, Research Division: That's right.
Surjit S. Rajpal: And if you look at it on that basis, our total European exposures -- I don't have the numbers in front of me, but it will be somewhere in the region of $4 billion of $5 billion.
Operator: The next question is from Robert Sedran of CIBC.
Robert Sedran - CIBC World Markets Inc., Research Division: Tom Milroy, just a couple of questions on the trading on Slide 37. Those 2 big spikes, in particular at the end of October, were presumably all CBA or mainly CBA. Can you give us any color as to what that was and how much of an impact the CBA might have been quarter-on-quarter? And then on a related note, I noticed and Surjit mentioned that the VAR is down quarter-on-quarter. Should I assume a lower level of revenue as well then going forward? Or should I not make that link?
Surjit S. Rajpal: Why don't I first try to -- before I go to the revenue question, let me deal with the question on CBA that you have and the 2 days that are high. Those 2 days really represent both normal trading activity as well as our CBA. And during the quarter, we did make some enhancements to our methodology. And we -- I'll give you some examples. We incorporated a risk neutral model to calculate the expected exposure profile. We also introduced the default correlation, and that helps when you look at -- there is always a connection between defaults, between counterparties, that are -- particularly financial. And then we also refined our calculations with respect to our BMO CDS curve to more align it to the market because you don't have very much of a market in CDS with respect to banks. So we used that to refine our methodology. And the number that you see there are the reflection of the -- of both our novel activity as well as CBA. Having said that, quarter-over-quarter, the CBA did not move very much. It almost remained flat. That number is very tiny. Having -- your question with respect to whether that's a reduction in the -- in our...
Robert Sedran - CIBC World Markets Inc., Research Division: Just want to know if the reduction in VAR implies a reduction in outlook for revenue as well.
Surjit S. Rajpal: The reduction in the VAR is really a reduction -- is a function of where we were in terms of risk-taking. But it's not -- and it was largely explained -- have to do with some of our -- the risk in our liquidity pool, as well as in our debt products business. But I'll ask Tom to elaborate if he thinks there's anything beyond that.
Thomas V. Milroy: No, I don't.
Operator: The next question is from Steve Theriault of Merrill Lynch.
Steve Theriault - BofA Merrill Lynch, Research Division: For Frank Techar, please. So, Frank, revenue growth has been on the decline now for a few quarters, I think, for the last 4 consecutive quarters and approaching flat in Q4. So can you talk -- can you refresh us on your outlook for revenue growth for next year? And then on the expense side, efficiency ratio at 53% this quarter. In the past, you broached the idea of an efficiency ratio below 50% next year. Is that still realistic given your updated plans for investment spend and the grind from lower rates? And then I'm just sorry, lastly, if you could address, I noticed the market share in commercial is down I think 60 or 70 basis point this quarter, pretty big swing, if you could talk to that a little bit as well.
Frank J. Techar: Sure, Steve. I'm certain now that you are paying attention to Viki's comment about one question. I think that was 3 -- it might actually been 4, actually. But I'll give it a whirl. Just a couple of comments about the year since I have the floor. We started the year with a little more optimism about the Canadian prospects for economic growth, as Bill mentioned, and about the level of business activity investment and even interest rates relative to our outlook. We started the year with more optimism than we ended with. And given the trends that we saw, we had a solid year with a stronger balance sheet growth than in 2010 in P&C Canada. And we did it with really solid performance from a margin compression perspective as well, just down 2 basis points for our full year. We did continue to invest in the business, as you mentioned. And while pointing out that our revenue growth over the last few quarters has been in decline, our expense growth has been in decline as well over those 4 quarters. And we did moderate that growth as we saw our top line start to decline as well. And it allowed us to maintain our productivity ratio on the low-50s, which was my commitment when we started the year. We ended up full year at 51.9%. So we're paying attention to the prospects on the top line as we continue to invest in the business. And we did have solid earnings growth of 10% using actual losses. I just might point out, it's our 13th consecutive quarter with year-over-year net income growth. So overall, a solid quarter, but we did have to react to some things that we didn't anticipate when we started the year. So as I look out into 2012, my expectation is the trends that we are seeing currently are going to continue. The top line is going to be growing slower than we saw back in 2010. And as a result, we're going to have to react from an expense perspective. I don't think it's realistic for us to be looking at a productivity number below 50% as we go into 2012. We're going to be working really hard this year to deliver a positive operating leverage for the business. And that's what we're starting the year on, and we'll see how the top line plays out. Relative to commercial growth and commercial market share, we did see a little softer growth this quarter than our competitors in our commercial loan growth. We have been taking what I'd characterize as a cautious approach to underwriting risk in our commercial real estate segment. And for us that represents about 20% of our Canadian commercial portfolio. And this management action has resulted in slower growth as we've gone through 2011. And it's also had an impact on our June market share levels. In fact, the contribution from our commercial real estate segment basically made up about 3/4 of the decline -- sorry, made up a portion of the decline in our share from March to June. The other big factor was one of our competitors restated their multi-residential mortgages from consumer to commercial in that period. And that had about a 3 quarter -- it made up about 3/4 of the decline from us from the March to June period. So 2 factors: one restatement on the share side; the other one is we're just taking a cautious approach to underwriting risk in our real estate portfolio. I will say that our spreads in our loan book overall and the spreads in our commercial loan book have held up really well. We've seen no decline in our loan spreads from '10 to '11, and our commercial loan spread have actually increased year-over-year. So we're feeling good about the quality of the portfolio and the earnings power of that portfolio, notwithstanding the softness in the growth in the balance sheet.
Operator: The next question is from John Reucassel of BMO Capital Markets.
John Reucassel - BMO Capital Markets Canada: Just a question for Tom Flynn. Just to clarify that on Slide 13, I think you talked about contribution from M&I of $112 million on an adjusted basis. So is that the base number we should assume coming out of M&I, Tom? Is that the number to build upon?
Thomas E. Flynn: Well, looking on Slide 13, we show the numbers adjusted at the top reported at the bottom. The total adjusted income in the quarter was $148 million, and you see how that broke down by group. So the way I'd think of it is the contribution going to the groups was $124 million. And that's sort of normal business contribution, including the impact of allocating expected losses to the businesses, and we allocated about $40 million of expected loss to P&C U.S. in that $112 million income number, and then corporate was $24 million. So our expectation is that going forward we'll be in that kind of a range. In the next quarter, we're going to have to absorb in P&C U.S. the introduction of interchange. And for the total segment, that's going to have an impact of further $10 million to $12 million in the quarter. We've talked about that number before, so that's a little bit of a headwind coming into the quarter next year. And as you know, at the beginning of every year, we adjust our expected loss methodology, and the expected loss numbers will tick up a little bit in the first quarter just given recent performance. So long answer to the question, but I think in the range of what went to the operating groups this quarter at $124 million to the $148 million, that was a fully adjusted number.
John Reucassel - BMO Capital Markets Canada: Okay. So just so if someone from the outside looking in, BMO's got roughly $4 billion by M&I, the $124 million net some of the expected loss and the interchange, that's a reasonable number to look at as a base as to the return potential to grow from for the M&I acquisition. Is that correct?
Thomas E. Flynn: Correct.
Operator: The next question is for Michael Goldberg of Desjardins Securities.
Michael Goldberg - Desjardins Securities Inc., Research Division: First of all, Bill, tell us what conditions have to be in order for the dividend to increase. And secondly, a more specific question, your trading revenue was down 37% in the quarter, particularly weak equity trading, and underwriting and advisory was down 46%, but your variable comp overall for the bank was up in the quarter. So can somebody give us an update on the prospects for both trading and underwriting and advisory, and also explain why the variable comp increased while major revenue drivers were down significantly in the quarter?
William A. Downe: Michael, I'll let Tom speak to the trading revenue prospects and the comp in the quarter. With respect to dividends, there's really been no change in our expectation around the timing of dividend increase. As you saw, our payout ratio in the year was 53%, which is -- remains at the high end of the range. So I think that it's really earnings growth that brings us down below the middle part of that range that they were driving for in looking into the future at when dividend increases will take place. And then there's a couple of backdrops that I think are important. One is that most of the efficiencies and synergies that will come out of the acquisition are related to the platform conversion, the technology conversion, it doesn't take place until the end of next year. And as well up until this point, there has been plenty of variability in the expectations of what required regulatory capital standards might be. I think that we're in a good position now I think where we have global visibility even to the point now of being able to anticipate what a national significant financial institution layer would be. So I think there's less concern now about the uncertainty of capital requirements, and you saw our Tier 1 common ratio at the end of the year. It was at a healthy 6.9% fully implemented. So really then I think it's a question of getting the 2012 conversion done and the synergies under way. And I can say we're looking forward on that. And with that, I'll turn it over to Tom Milroy, and he can talk about the trading question.
Thomas V. Milroy: Yes. And I'll talk about both trading and the underwriting and advisory. Maybe I'll start with underwriting and advisory. That business was down. We think, like the rest of the industry, we really feel pretty confident we didn't lose any market share, but it was a period when a lot of clients backed away. I mean the bright note there is that our pipelines continue to be very healthy, and so we're looking for a market opening, and we'll be seeing higher activity levels. In terms of the trading performance, in Q4, it was really a result of both the general market conditions and then how we're positioned. In terms of the market, like others, we suffered from higher market volatility and weaker client activity. In terms of our positioning, our positioning was such that we actually -- that's where we get -- we had losses both realized and our mark-to-market. As we think about our positioning, we continue to think about it over a longer period of time than a quarter. And we're very comfortable with how we're positioned, and we think it's reflected in our performance when you look at it for the whole year, where we performed well and, frankly, better than all our competitors. I mean we were down but not down as much, so we're pretty pleased with that. With that, I'll pass it over to Tom Flynn to speak to the compensation.
Thomas E. Flynn: Thanks, Tom. Just a couple of things on the expense and comp-related question. The first would be a statement of principle that it's important to us and I know it's important everyone that we have an appropriate relationship between compensation expenses generally and revenue. What I'd point to specifically would be the numbers for the year, and these are disclosed in our sup pack. But for the year, our performance-based compensation was up a total of 7%. Excluding the impact of M&I, it was up 4%. And that's a lower percentage growth than we had in income, which was up 16% and EPS which was up 10%. So overall, we did have an increase in total performance-based comp, but it was at a lower rate than growth in the bottom line. And we think that we maintained an appropriate relationship between the expense base and revenue.
Operator: The next question is from Gabriel Dechaine of Credit Suisse.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Just to go back to one of Frank's comments on expectations of more of the same in 2012, i.e. challenging environment. I'd like to tie that back to your NIM outlook, considering the big challenges in the form of mortgage repricing. That's an ongoing process and what sounds like a significant funding gap, at least a noteworthy one that you mentioned in your annual report. And then on the commercial lending, the loss market share, you talked about backing down from some segments of the marketplace. Could you talk a bit more specifically about the condo market, if that's included in that commentary? And what you're seeing there and where I would see that on your balance sheet possibly or in your disclosures in Canada?
Frank J. Techar: Sure, Gabriel. It's Frank. Back to the NIM question, we did see a 4 basis point decline in our margin on a sequential basis in Q4. And the primary reason for that is we're experiencing lower deposit spreads in this low-interest rate environment. As I said earlier, our loan spreads are holding up well and, in some cases, they're even higher this year than they were last year. So it really is just the low interest rate environment. We're feeling really good about our ability to compete, and we're doing a good job I think of holding the line in that competitive environment relative to our pricing. And when you look back over the last couple of years, we've moved from a spot where our margin in P&C Canada used to be one of the lowest. And on an absolute basis, we're now the highest of the big 5 banks. So overall, we feel pretty good. When we look into 2012, we're going to see those trends continue. I mean rates we don't expect to be increasing any time soon, and the pressures on margins will continue to be there. But we would expect that our margin decline will moderate as we go through fiscal 2012. We're not expecting to see as much decline as we saw this year.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Why not?
Frank J. Techar: Well, we are continuing to change the mix in the business. And that's been a big factor in why we've improved so much relative to the other players, and that's going to continue in 2012 as well. Stronger deposit growth would be one of those areas for opportunity for us in the coming year. And then relative to your other question about commercial and market share and our real estate segment, the business that we would do for builders involved in the condo markets across Canada would be included in the commercial real estate segment in our portfolio. And we've been cautious over the last year or so, and I would expect we're going to continue to be cautious in underwriting that risk going forward.
Operator: We'll take the final question from Brian Klock of Bruyette & Woods.
Brian Klock - Keefe, Bruyette, & Woods, Inc., Research Division: Maybe just a quick follow-up, I guess, Frank. Can you size that -- the portfolio at all for us, the exposure to developers in Canada, and if any way, how much of that is to condo developers in Canada?
Frank J. Techar: Yes, we're -- I don't believe we've disclosed that in the past. I'm not prepared to do that now. Just suffice it to say that our entire commercial real estate book is 20% of our P&C Canada commercial book, and that would include many different sectors, obviously, builder developers and investor-owned and commercial mortgages and all of those sectors. So that's as far as we're prepared to go at this point.
Brian Klock - Keefe, Bruyette, & Woods, Inc., Research Division: And maybe just a follow-up on overall loan growth expectations for 2012 in Canada. I guess can you talk about commercial growth expectation versus the consumer growth expectation for '12?
Frank J. Techar: Yes, I think my view would be the same as we started 2011 with, that we would expect to see stronger growth on the commercial side than on the consumer side. And we experienced that through the first 2 quarters. We took a little different position relative to our appetite, I think, in a couple of sectors, and that affected our growth through the back half of the year. But overall, I think there's going to be more opportunity for stronger growth in the commercial side than on the consumer side of the business in '12.
Operator: I would now like to turn the meeting back to Mr. Downe. [Technical Difficulty]
William A. Downe: I'll repeat myself in the event that my microphone wasn't on. I'm going to turn the call over to the business heads to say a few words about the outlook from their respective businesses. I'm going to start with Mark Furlong, and then ask Gilles, Tom and Frank to make some comments.
Mark F. Furlong: Thanks, Bill. This has been a great year for the P&C U.S. business, and I'm personally pleased due in part of the combination of M&I and Harris. With the course of the last 5 months, it is impressive on how focused our teams remain in our customers. And I'd like to thank our employees for their hard work and determination over the past year and our customers for their loyalty.  We're now intensely focused on conversion activities, which are still on track to be completed in late 2012. We continue to roll out our new brand, the BMO Harris Bank strategically across all of our markets, with full rebranding to be completed by October of 2012. By the end of December, we will have fully renamed about 220 branches in Illinois and Northwest Indiana. As Bill discussed, our view is that the U.S. Midwest economy is expected to strengthen moderately in 2012, with the second half likely stronger than the early part of the year.  For P&C U.S., we're working hard to grow our business and strengthen our financial performance. We're pleased with the resiliency of our net interest margin. However, we expect to have more downward pressure. We're seeing commercial loan demand slowly improving and consumer demand is expected to remain constrained. As you know, we will continue to see intended loan run up as we diversify the U.S. loan portfolio, but expect to see moderately stronger loan growth in the second half of fiscal 2012.  And finally, as the year progresses, we expect to realize more of the synergies contemplated in the integration. Our adjusted productivity ratio in the fourth quarter was 57.3%. We will make further progress on improving this ratio over the course of next year and into 2013, although we will continue to experience pressure on the top line. Our highly attractive footprint top-tier deposit market share, which is now #2 in Chicago, and the growth in this quarter, actually increases that position. Our deep commercial banking expertise, strong customer loyalty, all provided enviable platform from which to drive revenue growth and improved profitability.  In summary, we're in a great position in the market. We're focused on our customers, and we have great confidence in the business. Gilles?
Gilles G. Ouellette: Thanks, Mark. When I look at our business in the past years, I'm pleased with our results, particularly in the traditional wealth business. Our net income this year was up 31%. And that's despite the fact that we're operating in a very volatile markets, particularly in the last 6 months, and under a lower interest rate environment during the whole year. We're continuing to focus on improving the client experience because we think this is the way to grow our asset, particularly in these turbulent times.  Our client asset this year grew significantly, up $158 billion and, obviously, the bucket of this was because of the M&I acquisition. But what's really a positive for us going forward here is that the underlying net new asset growth really improved this year. The integration of M&I is a top priority for us this year. The successful integration of M&I, not only provided us scale in the U.S., but our North American platform will allow us to accelerate our growth. We're looking forward to another successful year next year. Tom?
Thomas V. Milroy: And in terms of capital markets notwithstanding a weaker fourth quarter, we had a stronger year, which was reflected both in record revenues and net income. This is the third year running that we've had -- that we have delivered growth in revenue which are combined with strong earnings and ROE. Our outlook remains cautious. In the short term, we expect higher-than-normal volatility to continue in light of continued impact of the Euro crisis, which puts pressure on our operating performance. That being said, with the resolution of the Euro crisis and the recovery of the U.S. economy, clients will come back into the market and our performance will bounce back. So we expect there will be volatility across quarters as market conditions improve. Our trading products business are well positioned to take advantage of opportunities, and investment in corporate banking is well positioned with healthy pipeline. Investments we've made in our business in both people and in our distribution platform provide us with another source of growth as we build on our North American wholesale strategy. Together with our unified approach to client coverage, this will position us well as the economy recovers. We believe our strategic investments provide us with a well-diversified and balanced portfolio that enables us to achieve our financial objective without outside volatility. Frank?
Frank J. Techar: Okay. Thanks, Tom. In P&C Canada, our focus continues to be changing the way banking is done and delivering a differentiated customer experience, and with that, we're going to continue to talk to our customers about controlling spending, growing savings, borrowing smartly and investing wisely. And in an environment where rates remain low and legitimate questions continue to exist about future economic growth, the level of household indebtedness and property valuations in certain markets, I'd expect to see that our current business trends are going to continue into 2012, as I've already mentioned. We continue to believe that our strategy is working well, and we are going to continue to invest in our front-line capabilities, but as I've mentioned, at a slower pace than we saw in 2011. Margins are going to continue to be under pressure. But as I said, decline -- the decline will moderate for us, and we are going to continue to take a cautious approach to underwriting risk in both our consumer and commercial real estate segments.  Our balance sheet is stronger today than it's ever been. And our margin, as I said, has gone from one of the lowest a few years ago to the highest of the big 5 banks. And we're confident in our strategy. Customer loyalty in both the consumer and commercial segments are at record levels, and we're starting to get some external recognition for our work. I mentioned our balance sheet grew faster in 2011 than in previous years, and our sales force is larger and more productive than it's ever been. So overall, we're confident in the strategy. We're confident in the path that we are on and our ability to compete. And I would expect 2012 to be another good year for P&C Canada. Over to you, Bill.
William A. Downe: Great. Thanks, Frank. Looking forward, the MD&A captures our medium-term financial performance objectives. They remain consistent with our expectations of strong competitive performance and increased productivity. For adjusted EPS, we're looking at an average annual growth rate of 8% to 10%, generating adjusted annual operating leverage of 2% or more, earning average annual adjusted ROE of between 15% in 18% and maintaining strong capital ratios that exceed regulatory requirements.  We're confident in our ability to perform strongly against our peers through a number of differentiated growth levers. First, continued successful integration in the U.S.; second, strength in commercial banking; third, expected return on investments we've made across our businesses, in people, technology and distribution, including our U.S. capital markets business; and fourth, continued success in our flagship P&C Canada business.  Thanks very much for joining us today. We look forward to reporting to you after the first quarter, and good afternoon.
Operator: The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.